Operator: It's now my pleasure to introduce Christina Lalli, Vice President, Investor Relations with TRX Gold. Christina, the floor is yours.
Christina Lalli: Thank you, Jen, and welcome, everyone, this morning to TRX Gold Corporation's Fourth Quarter 2024 Results Presentation. [Operator Instructions] So I'll now hand the call over to our CEO, Stephen Mullowney.  Stephen?
Stephen Mullowney: Yes.  Thank you, Christina. And joining us this morning is our Chief Financial Officer, Mike Leonard. Mike, raise your hand. Your hands can't see it in the background. So welcome, everybody, to our fourth quarter and full year 2024 investor call. This morning, we're going to go through what we did in 2024 and the outlook for 2025. 2024 was a good year. We had a third expansion on time, on budget, and we had record revenue and record EBITDA and continually reinvest in the business. And you'll get a sense of where we're going in 2025 throughout this presentation. We have some background noise. Mike, Christina, you just want to go on mute.  There we go.  No more background noise.  There we go.  I think I'm not sure which one of you was. Probably, Mike, is sitting in an office next to me, so maybe him, but he'll come in and out of the presentation. So Mike, -- as we go through the presentation, just please interject if I miss anything. So first and foremost, disclaimer. Obviously, we're going to get into forward-looking statements and other items. So I'd ask participants to read the disclaimer on our website and presentation. So fast-paced transformational growth. So the story -- you're starting to hear the same story a little bit over and over as we continually execute. 2021 and 2022 are in the rearview mirror. There was a lot of restructuring and changes in that period. And now we're into our third mill expansion in 2024, which was on time and on budget. That's 2,000 tonnes per day. We also, in the limited drilling that we did do, discovered our 2 best holes that we've ever drilled at the Buckreef Gold Project, which returned well over what I call really good gram tonne meters, so well over 150 gram tonne meters in both grade and the length of that grade or the continuity in that. And that is -- we'll get into that in the presentation, a zone that sits between the Anfield Zone and the Buckreef main shear zone. And that's very exciting because, obviously, the more gold is on the property, the closer it is to mining activities, the more profitable it is and the more -- we have ability to do further expansions and extended mine life. So what is 2025 going to look like? 2025 will be a little bit softer in the first half of the year versus the second half of the year, and that is due to one is we're going through a lower grade portion of the deposit and we have more stripping activities to get to the higher grade portion of the deposit. And that's the nature of a single mine asset, and that's completely normal, and we're comfortable with that. So you'll see more activities in the second half than you will in the first half because we are a funded business from cash flow. So obviously, the higher grade profile in the second half leads to higher cash flow in the second half versus the first half of the year, and we'll give the market a little bit better sense of that coming in the new year. We're also looking at the broader project of what's known today versus the exploration drill bit will obviously always change what's known and change the business plan, but what's known today, what we can say is the business plan that will go to the medium and longer term will be part open pit and part underground, and we're getting through the various iterations of that now and getting a good handle on that. Mike, anything to add to there on the outlook that I gave?
Michael Leonard: No, that was well said, Stephen. As you mentioned, we are doing a bit of stripping this year, which we'll talk about in a bit more detail. But with the expanded plant having come online at the back end of Q4 to 2,000 tonnes a day, we expect to benefit from that increased throughput into next year.
Stephen Mullowney: Yes.  And also, I'm just going to add, a large part of 2025 is increasing the efficiencies of the operation, particularly around the plant. So the plant will need another upgrade, and there's possibly -- and I smile when I say that, when we do that, it will be an expansion of throughput in that. And what we're going to be doing there is tackling recovery rates and efficiencies in the plant. So it will require probably a SAGD ball mill or HIGmill on the front followed by a flotation cells at the back and a regrind to get the grind size down much finer in order to increase those recovery rates from what we're currently experiencing. We discussed this in depth on the last call to where we believe that they should be. And we've predominantly through that process here now, we got a budget it out in time line. But I can tell you, I have drawings in front of me on that project, and we'll come to the market with more details on that as we finalize it. We have the various consultants and our team on the ground executing that right now. So with regards to the business plan, it's the same thing. We're a high-margin, low-cost gold asset in a good operating jurisdiction. We want to continually try to increase the gold production in order to do that, we continue to need to have the efficiencies to increase gold production as well as potentially more expansions, which then funds the exploration drill bit, which then hopefully leads to lower cost ounces and a longer mine life.  Pretty simple. With regards to 2024, the expansion came online in June. We had lower grade product go through in the last couple of months of the year. So we were pretty even on both the production profile as well as the cash flow from operations. We had record revenue and record EBITDA that was driven by keeping the cost low as well as having a little bit of an uptick in the gold price. G&A remained stable. Again, that has come down since we first joined. And I expect that as we do more expansions, it will tick up a little bit as we bring in the expertise, but that will be offset by increases in profitability. As I continually mentioned is the multiplier effect on capital invested. So we've been doing this predominantly out of cash flow from operations. So when you look at doing the capital raises over 3 years ago now, we have over a 2x multiple on net cash raised into the invested in the asset. So the capital investment has been over $50 million to date. Fiscal 2024 highlights. Mike, do you want to just get into some of these? I'll let you take the floor while I [ pass ].
Michael Leonard: Yes.  Why don't we go on to the next slide, Christina, and we can maybe talk about some of the specifics around financials and operational results. This is sort of a summary slide that as Stephen touched on, highlights the fact that we did achieve record revenue and EBITDA. We did continue to use that operating cash flow we generate organically to reinvest back into the business. It is a high-margin business. You saw the gross profits up around 44% for the full year and expect the expanded mill and the throughput to benefit us heading into next year. You couple that with the best drill hole results ever that Stephen touched on, which has led to a new shear zone that we call the Stamford Bridge shear zone, which we expect to put significantly more money into the drill bit to hopefully help expand and expose further with the goal of growing our mineral resource over time. Next slide, please. Stephen, do you want to touch on the mill expansion before we get into the financial specifics?
Stephen Mullowney: Yes.  So the mill expansion came in on time and on budget again. It's been achieving the throughput rates that we expected. So we're near nameplate capacity on this particular asset. And then we expect to see that increase in gold ounces produced more in the third quarter given the grade profile. But that is -- that's normal, as I said, in a single asset company. the improved crushing capacity, too. We're still working out some kinks on the crusher. So we expect that to continually increase anytime you have hard rock on metal, you got to work through the bottlenecks of it, and we're almost through that and have a good handle on that as well as on the grind size in the milling operation. So all in all, great third expansion. And as I mentioned, I have the drawings in front of me for an upgrade to that plant in 2025. And we'll look at probably increasing the throughput capacity again as a result of that upgrade.  Mike?
Michael Leonard: Yes.  Thanks again, Stephen. The -- just in terms of the financial results, we've touched on it a couple of times here already. But for us, it was a record year of revenue and EBITDA, which is a big milestone for the organization. We produced and sold just under 20,000 ounces for the year, but benefited from record gold price levels. We sold our gold on average at just under $2,180 an ounce over the course of the year. And again, this generated record revenues of over $40 million for the company. We had very, very strong gross profit of around $18 million for the year, about 44%, as I touched on earlier. So we continue to demonstrate this is a low-cost, high-margin operation. The operating cash flow came in at around $15 million. We used that money to fund the business as we continually touch on. And the record EBITDA of over $15 million just again demonstrated that year-over-year-over-year growth that we've been talking about. And again, highlights our significant leverage to gold price. So all in all, a good year, as Stephen touched on. Our philosophy is to use organically generated cash flow from operations to fund the business in a very nondilutive way in a shareholder-friendly way. We took $14 million of that operating cash flow and invested it directly back into the asset in 2024. And amongst other things, this included funding the plant expansion to 2,000 tonnes a day, while preserving our cash flow position at over $8 million and maintaining our liquidity. So in summary, we built the expanded plant.  We did it on time.  We did it on budget. We did it for about $6 million, which is fairly unprecedented for 1,000 tonne a day operation. And again, expect that throughput to benefit us heading into 2025. As far as outlook, again, Stephen touched on this, but the expanded plant to 2,000 tonnes a day really only came online at full capacity towards the back end of Q4. So we expect to benefit from a full year of higher throughput operations into next year, of course, and consequently expect gold production to be higher than what we achieved in 2024. We touched on this, but we are embarking on a bit of a strip campaign to access higher-grade ore blocks in the ore body in 2025 based on the engineered mine sequence. And -- but expect the higher throughput and higher production to offset the higher mining cost that comes with that. So expect cash cost to come in comparable with last year's levels at about $1,100 an ounce. So again, all in all, at $2,600, $2,700 gold, that's a high, high margin, low-cost operation that we expect to benefit and grow from into next year.  Next slide, please.
Stephen Mullowney: Yes.  So drilling, we never drill quick enough with our business plan in using cash flow to drill out the property. You can't drill -- I would love to be able to drill quicker, but you have to prioritize and allocate capital in its most prudent way. We should have more cash flow to drill more in 2025. But what we saw in 2024 was there's lots of drilling to do and lots of excitement potential here around the drill bit. The drilling campaign is constantly changing when you see things like Stamford Bridge pop up and the best drill hole results ever. So that recent discovery is really exciting as well as Anfield last year. Eastern Porphyry still looks good. The main zone, as you see, where all the resources are reported, is still open to the north, still open to the south, still open at depth. So there's lots of drilling here for a long, long life project and lots of potential to move lots of ounces into the mine plan as a result of drilling. Wish we could do it a little quicker though, but that's the nondilutive type of business plan that we have currently executed. With regards to the recent discovery at Stamford Bridge, people have seen this press release. This sits in between Anfield and in between the Main Zone. And it's typical that you'll see in structures like this that sometimes you get these plays coming off and through. It's relatively shallow. And really good continuity and grade. Obviously, we've got to continue to drill this out. It does dip a little bit differently than the main zone and then what we've seen in Anfield. So we're going to continually drill this out and see what we have here. But first drill results are great. Like I said, you combine that with the Anfield zone that needs to be drilled out as well as the Main Zone, which continually needs to be drilled out, lots of exploration potential here, lots of potential to add ounces. So again, the business plan is operating cash flow to fund growth and to continually fund growth. And we see -- so lots of opportunity to continually add value, both in the expansion of the plants as well as the expansion of the exploration program to add value in and around Buckreef. Right now, the business plan is to fund that from operations. If we saw a use of capital that had a really quick return, we may look at financing that other ways. But right now, the business plan continues to be the same. With regards to capital structure, capital structure hasn't changed. We are still debt-free. And our stock has oscillated for almost 2 years in between a range. It seems to be range bound despite the increases in gold price. We hope to get out of that as we continually increase cash flow, put out good drill hole results. Marketing has picked up as well. We have marketing campaigns underway. We've attended lots of conferences both -- we [indiscernible]  outreach campaign is also underway to a lot of investors, index funds, those sort of things in order to try to unlock this oscillated trading range. So as I said before, we believe we have a great asset. We have lots of significant gold deposit that's high margin that continually expands. We like it to go a little bit quicker, but that is the nature of this business. It never goes as quick as we would like it. And we have our head down continually looking at how to grow, how to grow profitably and how to grow as quickly as possible. And so now I'd like to hand it over to Q&A. Any further remarks, Mike, or closing comments from your end?
Michael Leonard: No, I think that was well said. We're very enthusiastic and excited about the expanded mill as a start. We've already got a set of plans, as you well described, to further enhance the efficiency and hopefully expand the mill from here and benefit from these lofty gold prices. So onward and upwards.
Stephen Mullowney: So I'll hand it over to Q&A.
Operator: [Operator Instructions] Our first question is from Mike Niehuser with ROTH Capital Partners.
Richard Niehuser: Stephen, can you hear me?
Stephen Mullowney: I can hear you just fine.
Richard Niehuser: Well, obviously, congratulations about the Stamford Bridge shear zone. Really -- let me finish with that. But it seems like the main takeaway here is that you're going to continue to restrict the use of cash coming off the project to optimize and grow without getting carried away and doing things that might pose additional risk where you might have to seek equity and that kind of thing. It seems like that's -- you repeated that several times in the call. So I'm expecting that to be the case.
Stephen Mullowney: Yes.  Is that your question, Mike?
Richard Niehuser: Yes.  It just seems like that you're not going to be raising equity to do...
Stephen Mullowney: Yes.  Like I said.  That is the current business plan. If we saw opportunities to really enhance shareholder value for both existing and future shareholders quickly, then we might look at a different business plan. But we have to do a little bit more work to get to that point yet. Certainly, what I'm seeing on exploration, look, there's -- and I said this many times, in this region, there's gold all over the place. There's pockets of gold all -- literally all over this area. And you saw that when you visited the area as well a couple of years ago. And that's being verified even with the limited drilling campaign that we did in 2024. It seems like every time we put the drill bit in the ground, you're getting something. So it certainly is becoming very, very, very prospective. So as the business plan that we put forward makes a lot of sense when you have a 55%, 45% JV is to reinvest the cash as opposed to bringing capital in from the outside in which the other party doesn't contribute capital.
Operator: I'm sorry, Mike got demoted. Let me just see if you have a follow-up. Mike, I'm sorry, I'm not able to reconnect you. So if you have a follow-up, please rejoin the queue. The next question is from [ Stephen Reiser ] a private investor.
Unknown Shareholder: Firstly, Stephen, thanks can you all hear me okay?
Stephen Mullowney: Yes, I can hear you just fine.
Unknown Shareholder: Stephen, thanks for presenting the Q4 earnings report and the recent news regarding discovery of the Stamford Bridge zone, all exciting, as Mike had noted. Unfortunately, for us, investors, TRX stock has been falling on this news. The stock, as you know, rose to $0.38 on November 12 when Stamford Bridge was announced then dropped to $0.34, a few days later, a greater than 10% pullback. This week, the stock was up 4% on Monday after the fourth quarter earnings release, but then quickly dropped 6% to close the day down 2% at $0.34. These drops occurring on strong news, unfortunately, indicate at this time, a lack of any meaningful investor interest in buying TRX gold. Our stock also sits at a PDE of 5, well below the mining industry average of about 12 to 13. So we have a severely depressed stock price at this point. Now, I am finding in contrast to TRX that there are similar junior miners whose stock prices are up significantly this year, and there are reasons for it. For example, Mawson Gold resources, up about 183% this year from $0.36 to $1.02. Rio2 Limited, up about 300% this year and rising from $0.15 to $0.45. West African mining, African miner, up about 50% this year from $0.61 to $0.92. And I've been analyzing why these junior miners and equivalent non-mining companies are able to rise in difficult markets, while TRX price, unfortunately, has been stagnating and declining. Based upon my research, I sent to TRX Gold approximately 10 suggestions in September and then in November. Regrettably, I've neither heard back nor received any acknowledgment from the company regarding these analysis and suggestions. I would note I'm a major and loyal shareholder of TRX Gold. I own about 1% of the stock outstanding. I, like other shareholders on the call, am an investor who could buy more shares. With the goal of creating value for my fellow shareholders on this call and others who may listen subsequently, I would like to briefly highlight 4 suggestions out of the 10 provided previously and 4 associated questions for TRX management today. I'd be grateful, everyone, if you could give me a few minutes to go through this analysis. and then your comments, Stephen, would be great. Thanks to everyone, of course, for your kind attention. My first point, again, in review of miners and other equivalent companies who are getting success in their stock price. Point one, selling TRX Gold to ultra-high net worth investors. What I'm observing with TRX is we have a CEO and executive team, all of whom I personally like, all of whom are very knowledgeable about the company's financial and operational details. What I'm wondering though is who's doing the rainmaking and the finding of new investors, particularly in the ultra-high net worth segment of the marketplace. In other companies where I have substantial investments, I'm seeing that the CEO's role and performance scorecard is defined differently to not only focus on operational and financial performance, but strongly emphasizes bringing in "new business", specifically new large investors, the $3 million to $10 million buyers. To better illustrate these CEOs, several of whom I have come to know personally, worked tirelessly 24/7 to penetrate the 3,000 plus, could be more, 3,000-plus family offices and thousands of ultra-high net worth investors globally. Correspondingly, when I look at my Level 2 trading screens, I see that investors are buying large share of their company's stock. And their stock now sits with almost -- in one case, with almost 50% of the shares held by management friends, family, not 15%, 50%, so different from TRX. And the companies I'm describing have significantly less intrinsic value than TRX Gold. In short, this strategy of networking and influence works. My first question, who is doing this type of rainmaking at TRX? My second point, and I'll go through them and then I welcome your comments, Stephen. My second point, senders aren't building relationships with existing TRX top investors. I believe there are 10 to 25 TRX investors that own over 500,000 shares each. These top investors like the tip of an iceberg have their own underlying networks comprised of additional affluent, friends and colleagues with investment wherewithal to buy TRX stock. My concern is that this investor base is burned out based upon the last 3 to 4 years of stock declines and have not been adding to their positions. My question, particularly because the stock price, if you recall, when you joined on December 1, 2020, Stephen, was around $0.63. We're now probably around $0.36 today, about a 50% haircut. Not making a value judgment there, but giving the context from the standpoint of a shareholder. My question, who is proactively reaching out to these existing investors? Who calls to simply thank them for their support and patronage in our company? -- who responds to their phone calls and e-mails. As I note, no one acknowledged my e-mails with analysis and suggestions. TRX also does not have a contact number on the website. The majority of gold miners that I've researched, including the peer group used for compensation at TRX does have a contact number on the website. My third point, centers on aligning shareholder and executive compensation. I have no problem or no issue with TRX executives being well paid for exceptional shareholder value creation. However, I am very worried that the current compensation system at TRX pays top executives millions of dollars each year in cash-based salary, cash bonus, stock grants and stock options, but very little of this compensation based upon reading the 2024 AGM appears tied to what is happening to TRX's stock price. Again, the stock price is depressed at a PDE of 5. Executives are clearly rewarded for TRX operational and financial accomplishments but there appears to be no linkage to new investor acquisition and most importantly, no clear linkage to stock price appreciation, which is critical to the shareholders. My third question can the esteemed Board of TRX, please align management compensation in good part with stock price performance? So that there are clear incentives and disincentives consistent with TRX intrinsic value. Our intrinsic value, as shown in today's presentation is at a minimum of $1. Our realized market price today is about $0.36. That's about a 65% for severe undervaluation. I would -- bear with me for just a second, Stephen.
Stephen Mullowney: Yes.  I've given you the floor for 10 minutes...
Unknown Shareholder: Yes.  But I think the last point is the most important, so please let me proceed. My fourth and final point centers on why can't we provide a 2025 gold production forecast to the marketplace? On Monday, in TRX's fourth quarter news release and today, Stephen, the company indicated that we achieved record revenues and EBITDA for the quarter. Deeper reading of the release, however, showed that the several of the operational metrics were just okay, which explains why the stock sold off. Operating cash flow decreased 12% year-on-year.   Production decreased year-on-year. Net income was a loss. Most importantly, the pivot forward guidance was vague, and this gets to the core of my discussion today.  This is the core.  TRX indicated that production will increase for 2025, but provided no quantified projection. Now my concern with this situation is that in the public YouTube podcast on November 8, 3 weeks earlier, Stephen -- you said 30,000.
Stephen Mullowney: This is more of a rant now. I'm going to stop you and address your questions. And I appreciate you being a shareholder. And you have my phone number and you call me on an ongoing basis. So you have a real problem, please give me a call and we'll go through these points. So as I've always said, we are in a turnaround situation since 2021 since I came into. I've inherited a capital stack that existed since I came in here, and we're working our way through that. That capital stack was not clean. And I do believe some of your points are very valid. With regards to the focus on our part has been on the business, you're right. That does take a lot of time to be focused on the business. It was a very messy business when we came in, we didn't hide that from any of the shareholders, including yourself. We've successfully gone through that. But we are still going through that, and the outlook is good. And so there is still going to be some, what I'll call, and you're rightfully pointing it out, less definitive information that you want.  And I'm not going to change that overnight until I'm extremely comfortable with it in this -- getting this asset put into the right place. The marketing is ongoing. We were down to New Orleans a couple of weeks ago where a lot of the high net worth individuals are. We've turned our attention to that. So your comments have not been ignored, and I've never ignored your comments. But I am going to be quite honest here and even in this public forum. I don't like being called out like this because you have my number. If you're unhappy, I don't like the shareholder performance either. But again, I can execute, I can get out there market but I can't impact what the market prices is at unless we continue to put out good results. And I'm hopeful that it will continue that those will start to overturn what is happening. So if you have an attack on me, please give me a call.  And I'm more than happy to talk to you. And that's with any shareholder. So with regards to reaching out on -- to other shareholders and stuff like that, we're always talking to our shareholders. I had a call yesterday with a major shareholder and went through. And I will follow up with you and have a further call with you and go through a lot of the points that you raised here.  And I think you'll be enlightened by it.
Operator: The next question is from Mike Niehuser with ROTH.
Richard Niehuser: Yes.  Stephen, this is Mike again. I'm sorry, the phone is went dead on me for some reason. But I do apologize, where I was leading with the disciplined approach was it's just it sounds to me like you're not going to be seeing the Stamford Bridge coming into production for a bit of time. I'm guessing that you're drilling it now. But I assume that with the increasing the strip ratio in the last quarter that was reported was primarily around the main pit and that you really haven't got on to the Stamford Bridge shear zone yet. So the question is, what is the timing for the Stamford Bridge zone, do you think starting to show up in production? And at what time do you think you might do this underground thing that you hinted at? So those are kind of 2 questions there.
Stephen Mullowney: Yes.  So with regard to Stamford Bridge, there's a lot of work that needs to be done. It takes time to put things into the resource category. And the reason for that is you have to have certain drill hole spacing both on surface as well as at depth. And so there needs to be a lot of infill drilling around that to start to bring that into resource. So you start like doing this like -- and then you infill it.  So that will take some time, and that's going to be dependent on cash flow when we do that. And then the -- with regard to the second part is, look, when you're looking at a life of mine plan on the Main Zone, you'll have so long that you can go and mine open pit. And then there becomes a cross point where the stripping cost equals the underground development cost.  And when you reach that inflection point in your mine plan, you go underground. And so what we're seeing right now, it depends on the throughput rate at a plant that we ultimately built and get it to -- but you're looking at an open pit mine that's probably anywhere from 5 to 7 years. And then thereafter, you go underground, depending on the processing rate that you want. And in underground working, you're bringing up higher grade material. So that's current as we're getting through it on the current resource. Does that answer your question?
Richard Niehuser: Yes, it did actually very well. The Stamford Bridge zone seems to be a prospect as a starting point for that underground thinking. But really, it's kind of -- I'm seeing that this optimization that you plan to continue now that you've fully commissioned the mill is to start to prepare finer grind for transitional sulfide ore so that you can keep your cash flow up.
Stephen Mullowney: That's right.  It's a balancing act. It's a complete balancing app. Operating a mine is not an easy thing. And the key here in operating mines is having a firm understanding of your problems because every mine will have problems and being able to problem solve appropriately. So I think we've got a good handle on that.
Richard Niehuser: Well, I think pretty impressive on the exploration and really quite a nice surprise. And hopefully, you can fold that in sooner than later. Given your optimization and plans. But again, sorry for dropping off the call.  That's it for me.
Stephen Mullowney: All right.  So there's no other questions.  I will...
Operator: I'm sorry, Stephen, I had muted myself by accident. The next question is from Craig Sutherland with Conceptual Solutions.
Craig Sutherland: So I'm going to get probably just a little bit more specific and brief. I don't want to belabor a lot of the points that we've already made. But in previous calls, we had discussed what either analysts or to the other gentleman's point, larger investors we're looking for. And you had mentioned before that it was kind of a -- show me if you say you're going to do something and you do it and then unfold in the future. Well, you guys are doing a great job as far as being on time on budget, cash flow. I mean you're doing exactly what you're saying, which I appreciate. And Stephen, I do believe you're a straight shooter. I believe all of you are. So I also want to say that. I guess what I want you to address for me today is, is there a disconnect? Or what is the disconnect? Because if you're at these meetings, you're talking to people for indexing or you have mentioned that, they either have a specific metric, a number of ounces produced.  There have to be certain things that they're looking for in order for them to really start taking advantage of that.  And where are we?  Because if you guys delivering on these things, you are doing what you -- where is the disconnect?
Stephen Mullowney: So I get into this, and I get in this with the government of Tanzania, too. One disconnect, major one, 55-45 joint venture. That is tough to overcome when you explain it in 15 seconds. And so we are sitting down with the government of Tanzania. I was in Tanzania a couple of weeks ago around meetings around that to try to come up with an investable agreement. So that is a major impediment. So stocks that have really performed don't have that type of arrangement.  They usually have a free carried interest in Africa is anywhere from 10% to 20%. And if they're in North American stocks usually own 100%. So that's a different arrangement that is a challenge. The next challenge is that it's a penny stock. So given the way that the markets are now set up an investment adviser, even for high net worth individuals, alarm bells go off in brokerages when you put your clients into penny stocks. So that's another thing that the challenge you need to overcome. And you got to grow our way out of that. And then the next one the sheer size and diversity. And we need to address that over time as well, is a $100 million market cap, you've seen a bifurcation in the market between -- look at the PE ratios of Microsoft and the big companies. You've seen that bifurcation of large cap safe. Alarm bell is not going off in investment in advisers' offices. When they put their clients in there, even though it may be massively overvalued versus the micro cap and the small-cap market. You're seeing that bifurcation. And so all of those combined together gives you that toxic soup. So one thing I do agree with Mr. Niehuser on is, you have to then allay your marketing to try to find those individuals that can invest around those sort of factors. Another factor, too, is that, that will help over time is jurisdiction. We like operating in Tanzania. We think it's a good jurisdiction we get things done. But to the American investor, Tanzania is a long ways away. The Barrick dispute is still raw. And it will still take some time to overcome that. Did that answer your question?
Craig Sutherland: Yes.  No, no, absolutely. And then I guess I'm going to slide this out or float this because you brought it up in several calls before. If that's the case then, what realistically would be the possibility of M&A?
Stephen Mullowney: Yes.  So we're constantly looking at that. Again, that's another thing that takes my attention because you do need to get to that sheer size, and we do have a skill set that we've built up internally over the last 3 to 4 years of being able to build in Africa very cheaply and know where our suppliers are and how to do that. So we're constantly looking at opportunities that lend itself well to that. What I would say the impediment there is the challenges are always social issues in these regards. 
Craig Sutherland: Well, I appreciate it. That's what I wanted to ask today. And again, continued success. You guys had a great year and just keep going forward.
Operator: Stephen, I'd like to hand it back over to you if you want to review any of the text questions.
Stephen Mullowney: Yes.  So let me see where I get those. One was on the underground operation and whether it will be more costly. So we need to do our work there. As I mentioned, when you go underground, so the way to Buckreef is set up is it's a wide shear zone. So where your costs really increase underground is in dilution. So normally, if you're in a narrow vein underground mine, your -- that, say, less than a meter, you have to take at least 3 meters of width. So you get significant dilution on that. Whereas Buckreef is 15 to 20 meters wide, so we don't see the dilution there. So I don't anticipate underground mining to be that much more costly than open pit mining, particularly as your strip ratio starts to increase. So what does the marketing plan look like? So the marketing plan is -- look, there's -- it's to get out to more retail conferences, particularly small and microcap conferences in the United States versus mining conferences. That's one angle, and we started to do that. Another angle is to reach out to a lot of those family offices and funds and index funds that has started. And another part of this is to -- obviously, we talk to our shareholder base and continue that.  So those are the tenements of the marketing plan. A lot of this is also social media reach as well, has increased as you noticed on our LinkedIn and our X feeds. There's more and more content going out there that has a reach and there will be some paid content going out there specifically targets the type of investors that you want. So that is, in essence, what the marketing campaign is looking like. So a lot of comments that come in from the investor was on the line as well as others have been taken into consideration or being executed.  It does take time, though. This stuff doesn't turn around overnight. It's not easy, and it is a gray matter, as I'd like to say. Also, there -- you would notice myself with opinions a lot more on various broadcasting media chains and through various commentators out there. So I've been getting a lot more interviews as well as quotes in the articles, those sort of things, that has also started to ramp up. When can shareholders expect some time of return on investment? We discussed the point here that our impediments. The major thing that management can do is just continually execute and hopefully, someone notices and get out there and make sure that people are starting to notice it. That's basically what it is. As I said, we came in here 4 years ago. The capital stack was not perfect. It takes time to move through that. And when that is done, hopefully, the stock starts to rise. I'm just as disappointed as anybody else. I'd like to make money as well. I didn't quite being a partner in a big 4 firm just to collect the salary. So a massive part of my compensation is tied to stock price. And I think that addresses all the questions in the text [indiscernible].
Operator: All right. If you want to add any wrap-up comments, then you can close the call.
Stephen Mullowney: Yes.  I think we're good. As I said, we are going to continue to keep our head down and execute. But at the same time, there's a lot of some work that still needed to be done to make this a more investable company to get more and more eyes on it in order to start to release shareholder value. We're perfectly aware of that. But what I would say is Rome wasn't built in a day, and it wasn't built by one person, and we continually believe in Buckreef and its ability to create shareholder value.
Operator: All right. This concludes the meeting. You may disconnect your lines. Thank you for participating, and have a pleasant day.
Stephen Mullowney: Yes, thank you to everyone. Bye.